Operator: Ladies and gentlemen, welcome to the Voestalpine AG Publication Full Year 2024-2025 Conference Call. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Peter Fleischer. Please go ahead, sir.
Peter Fleischer: Good afternoon, ladies and gentlemen, and a warm welcome to today's results presentation of our business year 2024-2025. We've got the complete Management Board today available for the presentation. Ms. Richter and the gentlemen will give you an overview of what has happened in the last business year, but also on what the current situation is looking like and also how we see the world today and what we expect for the near future. Afterwards, after the presentation, this will take around 30 minutes, I guess, we are very happy to answer your questions. Thank you very much from this side. And Herbert, please go ahead.
Herbert Eibensteiner: Good afternoon, ladies and gentlemen. Please let me start with what makes Voestalpine special. We are a global special metals, steel and industrial group. And as you know, we can combine this steel and metal production with processing and engineering competence -- and this in one hand. And I think it's -- with this expertise, we focus on innovative solutions that offer a competitive advantage to our customers. And this all makes us a leading partner for high-tech industries with relatively high entry barriers, such as aerospace, automotive industry and also railway systems. We are a stock-listed company since 1995, and we are committed to value creation for our customers and shareholders. So let's come to the highlights of last business year. You know that we all are in a very challenging environment. Despite this environment, we achieved solid results. Where does this come from, in particularly from Railway Systems, thriving very good worldwide, good order intakes, long-term contracts. Also, aviation was very good and high-bay warehouse is still growing business for us with very good results. On the other hand, we saw ailing demand in automotive components and also in mechanical engineering and construction. And this was the reason why we, as a management, we clearly focus on free cash flow generation. The figures will be presented by Gerald Mayer afterwards. What's very important that we have a stable low debt situation. And when you look at this automotive components, mechanical engineering and construction market, it was necessary that we started reorganization projects in 2 divisions; in metal forming and in high-performance metals, and we are in the middle of the implementation of all the measures in this year that the results -- the negative results last year. We have not forgotten of our growth project. So all these projects will be further developed in the course of this year and also the next years and our Greentec steel project is well on track, and we have 1/3 that means EUR 500 million of this EUR 1.5 billion already invested. What was the global environment we were in? Europe was our biggest market, was very weak and especially Germany was particularly hit very, very hard. In North America, a positive development in the course of the year. At the end of the year, we see a reduced investment in the res, coming from the new policy of the President in Asia, in China. We have a good industrial growth, I would say, in our activities, also we see and know, and I'm sure you are as well updated that the real estate market in China is still very weak and the problems there are not solved so far. In South America, Brazil, a growing market for us. But in the course of the year, after a good start, we see a certain slowdown in the course of the year and coming from a higher competition from Chinese import, but more from higher interest rates. So I said before, we have not forgotten of our growth projects. I'll give you some examples. We have got good orders, long-term contracts with 2 truck manufacturers for the North America market. We have started the investment and is roughly EUR 70 million for that. And we think we can start with production in the next 1.5 years. And we have also moved or implemented production in the U.S. for high-bay warehouses. The demand is very high. So it's worth to invest in machines for this business and also our production facility in Brazil after a big second step is now a third step in new facilities begun. And also when you look at railway infrastructure, a good example is that we have a joint venture in Egypt and the first turnouts are delivered to the customers, the first of 260 turnouts for the next coming months and years. So third -- fifth example is the expansion of our welding consumable, a business which is very stable over years now, and we increased our capacity in India. And now I would hand over to my colleagues in the different divisions and start with the Steel division.
Hubert Zajicek: Yes. Good afternoon, ladies and gentlemen. My name is Hubert Zajicek, and I'm responsible for the Voestalpine Steel division within our group. And today, I'm honored to talk about the development of this division of the past fiscal year. So as we already heard, we experienced a lot of headwind and still having a lot of headwind in our market segments, but we could show a strong performance despite this fact. So we saw weak demand from most of our customer segments like construction industry or mechanical engineering industry and white goods industry. But we also saw a stable demand from our automotive customers and also from the energy segment, the energy business. So we could perform quite well because we are concentrating on strategy, we are concentrating on producing and delivering steel sheets and heavy plate and also cast iron in the highest quality segment, and that gives us some kind a little bit of pricing power when it comes to our negotiations. And in those 2 respective segments like automotive and energy business, we were able to gain additional orders because we are a very reliable partner, and we're also including in our supply, the respective logistics or supply chain services. I do expect on this level, we are facing right now more or less a stable development. So I can say that automotive is doing and forecasting quite well. Also energy business is doing well. White goods industry is improving a little bit, but the other segments are staying at that level we are seeing right now in my opinion. So we are running our facilities here in Linz close to full load. So our utilization rate is very good, and that will stay that way until fall at least. So I do expect a stable business year -- actual business year because we could manage to concentrate on our high-quality steel sheets and also the heavy plate segment and the sheets for that are some kind of high-tech plates we are delivering to the energy business. Herbert Eibensteiner mentioned already, we're in the middle of our decarbonization project called Greentec steel. So we are erecting electric arc furnace on this site here in Linz, and we are quite on track with this project budget-wise and also time-wise. We are very, very, very good on track. And what I wanted to add is that we're not only concentrating on decarbonization. We're also investing and could finish some investments in quality. What is the modernization of our hot-dip galvanizing lines, for example, or our new cold rolling pickling tandem mill is online now, and that is very important when it comes to improving our quality. Yes, that was it more or less in a nutshell how the Voestalpine Steel division was performing and a little bit of outlook. Thank you very much.
Reinhard Nöbaueru: Good afternoon, ladies and gentlemen. My name is Reinhard Nbaueru, and I will have the honor to walk you through the development of the High Performance Metals division in the last business year. Overall, we faced a low demand and the low utilization of our steel plants. And regarding the business development, tool steel is mirroring the global economic environment, Herbert Eibensteiner presented. In Europe, we were confronted with a stagnating environment, especially in Germany, where we had decreasing demand. North America was starting quite well and was then very hesitant in investing, and this also was felt by our organization there. South America also started quite good and had a slow demand in the second half of the year. And China, Asia was quite stable and quite positive due to the production of new energy vehicles and microelectronics, where we had good market opportunities, and we could gain them. In the special materials market, we had a strong demand from the aerospace industry globally, and we could over satisfy it quite well. And we had a stable but lower demand in the energy sector. The current situation and the outlook is that we do not expect a major tailwind from the tool steel market. Therefore, we focus on efficiency programs and also realigning our strategy and approaching the market. The tariff announcement will create additional uncertainties on customer side, and this is what we have to tackle with. And the aerospace industry, we see that the upward trend continues, and it's a quite good outlook for that industry. What is done in the strategic development, we had one big project and could successfully sell Buderus Edelstahl as per 31st of January this year. This was strengthening our overall product portfolio in the High Performance Metals division. And the other big project we have started last year and implemented to a big degree, was the reorganization of the company structure. This means we are increasing the resilience of our division and working on that with the concentration and the structuring of the sales organization, meaning that we are serving customer-specific industry segments. We are bundling logistic activities worldwide, and we are focusing on a production network to utilize our capacities in the melting plants in an optimum way. And we also had to redesign our structure in terms of manpower, and we decreased the manpower year-on-year by close to 1,600 FTEs, big part 1,130 coming from the sale of Buderus, another 500 in the division where the main part was 250 in Austria in Kapfenberg and the other 250 were widely spread over the network we have worldwide. And for the upcoming year, we have scheduled another close to 300 FTEs. We will dismiss due to the reorganization and to the resilience program we have initiated. Thank you.
Franz Kainersdorfer: Good afternoon, ladies and gentlemen. My name is Franz Kainersdorfer, and I'm glad to present to you the developments in the business year 2024-'25 of the Metal Engineering Division. As you know, we have 2 major areas within Metal Engineering, which is the Railway Systems segment and the Industrial Systems segment. And in the last business year, we had a good market environment for railway infrastructure globally with good performance in railway infrastructure and with the railway systems. In comparison to that within the Industrial business segment, we also could see, especially because of the global setup, a good performance and a stable performance on the Welding business segment and differently to that, first good quarter on the seamless tubes side, but then a more deteriorating situation because of the upcoming elections in the U.S. and the uncertainty of the further market developments on the seamless tube side. And as our wire business is very much related to the European market and because of the very moderate situation of the European market, we could not really see any really good recovery in the wire business segment. Even if we can say that in the second half year, the market stabilized, especially in the Automotive segment so that we could see a little bit an improvement there. What's the current situation and the outlook regarding railway infrastructure, we are still very positive generally and globally, we have still very good demand from our various customers in the different market and customer segments, which we are supplying. And so we will see a stable and good performance of railway infrastructure and the railway systems. Regarding the Industrial business segment, I would assume that on the welding side, we prolonged the actual stable situation, especially again because of the global setup of the Welding business. And with the seamless side, just because of also the last executive order of the U.S. administration from yesterday, we are in a little bit uncertainty how the new tariffs and the increase from 25% to 50% will weigh on the Tubular segment now at least for the next 3 to 4 weeks, and then we will see how the negotiations between the U.S. and the European Union are going to develop and the outcome of that, of course, will very much determine how the Tubular segment will proceed further. On the Wire business side, we will see, to our expectation, a little bit better performance because also of the big programs in Germany, but of course, more in the second half of the business year than in the first half. On the strategic side, we are further developing our railway systems segment within the railway infrastructure business. We are focusing on a completion of all the components within the system. Actually, we more or less have everything in-house. And we are very much focusing further on the digitalization of our systems approach and also regarding the necessary but well-on-track implementation of artificial intelligence, supported diagnostic and monitoring systems, which will bring a further good insight of the actual and maintenance demand of our systems towards our customers. You also note that with our steel production, Donawitz, we are undergoing in a comparable way, as Hubert Zajicek has just mentioned regarding the Flat Steel division that we're also undergoing this Greentec steel transformation, and we are well on track, too. The project is in good progress, on time, and we are looking forward to ramp up the electric arc furnace facility in Spring 2027. Thank you very much.
Carola Richter: Good afternoon. My name is Carola Richter, and I have the pleasure to report about the Metal Forming Division. Let me talk and start with an update on the business development. I will also look into the current situation, and will give you an update on the outlook. And let me do that business unit by business unit. If we start with automotive components, we still do see that Europe has not fully recovered to pre-COVID levels, and the domestic production is still on a low level. In China, we see the transformation to electric vehicles ongoing very strongly, but at the same time, we see that our customers, European OEMs lose market share, which does have an effect on our business as well. And talking about the U.S., of course, there is tariff discussions ongoing. And for many of our customers, of course, it is an important decision whether they increase their local production in the U.S. Many of them are there already, but some have very large productions in Mexico still. Talking about tubes and sections. If I look at the last year, actually, we saw a relatively weak market in Europe in almost all segments, while all the other regions performed well, especially in North America. If you look at what's going on right now, we see a trend change. Europe is significantly recovering. We do see that already in our order books in the first numbers also of this year, while at the same time, North America gets a little bit weaker. Looking a bit into segments. We are sure that the rock bottom is reached for trucks and trailers. Actually, here, we do see a very nice order intake with improvements, which is usually an early indicator for a positive outlook. Also stable order intakes for cabins. And here, the segments are Agro and Construction. And also good news here, we see some more activities also coming out of Germany. Britain construction remains weak also this year, but we do see very positive order entry for photovoltaics in warehouses, which really stabilizes our business. U.S. is just the opposite. This is now weaker, especially if you look at off-road vehicles and photovoltaics. South America, well performing last year. Business is still solid. And we also stay optimistic for this year. In Precisions Strip, we had a very weak last year, especially if we look at the economic situation. For example, again, the construction industry did not help us if you look at our source business that was very weak. And on top of that, also some of our major customers faced tough competition in Europe out of Asia Pacific. Now what are we going to do on the strategic development side? And of course, the main topic for us was our reorganization of the Automotive Components business. We called this project Restart and the target here was to improve by a high double-digit number in terms of EBIT. And the main focus, and we already communicated that last year, was the reorganization of the German sites. So going from 5 to 4 sites. That did include press relocations, and we are still ongoing doing this. And it also does include a site closure, which we have communicated as well, [ Biltenfeld ]. Discussions with works council and unions went well and also the same thing we did a reorganization in Dettingen. We will not do any press parts there anymore. We will just focus on assemblies. And also there, we had fruitful discussions with works councils and unions. And with both together, we will reduce our headcount by 450 FTEs. If I look at Germany altogether, we will reduce and actually starting from March 24 from a level of 2,630, we will reduce our headcount to less than 2,000 within the project of Restart. But not only Europe and Germany is our focus, also, we are focusing on improvement programs in our North American site in Cartersville where we also reduced headcount already, and we are concentrating on the cost and efficiency program. Just to give you a little picture, while we were running our Automotive Components business with 5,600 FTEs altogether, we will do that in future with less than 4,000. So all these measures are in implementation. We are exactly according to plan, and we do hope to already see improvements in our EBIT this year. Why is that? First of all, from the personnel discussion -- reduction and secondly, with the press relocations, we will ensure that we have the structure adapted to the lower levels of demand in -- especially in Germany. With that, I hand over to my colleague.
Gerald Mayer: Thank you, Carola. Yes, my colleagues explained now what was really -- we have the challenges of last year that we were focusing on. And from a numbers perspective, financial perspective, I would say the main impact we saw, for example, Buderus, the disposal of Buderus business was also that we, of course, focused on restructuring. We had impact here, which you will see shortly here in my presentation. Yes, and of course, that we also focused all of us, the 6 of us and the first Voestalpine team as a whole in optimizing working capital and streamlining also capital expenditures. So let me translate now -- summarize to you how the impact was here on our main KPIs. So in terms of revenue, on my first slide here, you see that it was reduced, it came down from EUR 16.7 billion to EUR 15.7 billion, so minus EUR 1 billion roughly, 60% out of that is referring to lower prices and 40% delayed shipments. So a big impact there from lower prices. We saw reductions in revenue in all 4 divisions. And of course, this also translated into the development of our profitability. In terms of EBITDA, we are down from EUR 1.7 billion to EUR 1.3 billion. Of course, there is a big impact in there from nonrecurring items. I will talk about this then a little bit later on the next slide. But one thing is interesting, and I would like to mention it here, that this lower sales prices I mentioned before, were more or less compensated by also declining raw material prices and raw material costs. So what was left was lower volume in particular there. And as I mentioned, I will talk about the nonrecurring items in a moment. In terms of EBIT, I have to mention here that we also got rid of cleared housing, clean house in terms of goodwill. So we impaired EUR 170 million, referring one part to Automotive Components. Carola was just talking about that. And the other one to our High Performance Metals Division where we impaired in total roughly EUR 120 million. Between EBIT and profit before tax. Of course, you see the financial result, which was exactly at the level of the prior year. So I will also talk in some moments about our debt position and so on. So everything is stable there. Of course, what is interesting is that our tax rate, which is not mentioned here, is at 34%, and the expectation will be perhaps some 25% for an Austrian company, Austrian- headquartered group. So the main reason is that the impairment of goodwill, I was just talking before, are not tax deductible. This brings up in both years, by the way, in '23-'24 and '24-'25 the tax rate. And this should normalize then next year. Last line here, earnings per share. Last year, EUR 0.60; this year, EUR 0.90. If you compare that with our profit after tax, of course, you see that last year in the comparing period, the stake of minority was way higher than this year. Therefore, we saw an increase in earnings per share to EUR 0.90. I mentioned that I would talk about one-off effects in our balance sheet or in our P&L. And I would like to focus there on our -- on the second column here, EBIT. So the reported number was EUR 455 million and you see there that EUR 177 million of negative one- offs were included there. So EUR 80 million roughly are referring to the sale of Buderus Edelstahl, roughly EUR 80 million, again, the impairments of HPM production goodwill cash-generating unit, and we also had reorganizational restructuring expenses included there of EUR 16 million. And Metal Forming division, reorganization, restructuring of Automotive Components business unit account for EUR 50 million of nonrecurring items there and impairment of Automotive Component goodwill added up to EUR 39 million. Then there's something left, adding up to EUR 52 million, and you definitely have in mind that we were talking also last year about the valuation of our gas storage facility. This is included there with an amount of roughly EUR 45 million. So if I would then talk about an adjusted EBIT number, instead of this EUR 455 million of reported EBIT, we would end up at EUR 770 million EBIT adjusted or EUR 1.5 billion EBITDA as adjusted EBITDA for Voestalpine Group last year. I prepared a bridge there. So how do we come from EUR 1.7 billion to EUR 1.3 million once again there. You see in the first 2 columns, our gross margin is slightly up. And there is one reason behind there that, in particular, in Steel division, raw material prices compensated or more than compensated lower prices we got for our products. In terms of volume and mix, we see a minus of EUR 135 million. Here, it was not possible to compensate in full lower volumes with a higher margin mix. But yes, we manage there to optimize at least and compensate it a little bit. And last, but not least, miscellaneous, EUR 900 million minus EUR 300 million, what is included there. First of all, there is included, of course, cost inflation, which was not able to compensate in full by continuous improvement programs, for example. And of course, there is also included some higher than in the comparing period nonrecurring items as I mentioned before, in particular, the sale of Buderus, for example, and the restructuring expenses, as mentioned in the previous slide. I prepared a second bridge where you see the deviation for the respective divisions of Voestalpine. You see in Steel division, we performed even better than in the comparing period by EUR 60 million. So excellent performance there in a difficult environment and difficult year. And I mentioned here once again, lower volumes and prices, which were actually overcompensated by lower raw material prices and the mix was definitely better, in particular, heavy plate business, which supported our performance. High Performance metal EUR 100 million down compared to '23-'24. Lower volumes, I would say, is, in particular, the main reason there. Price is a little bit, but in particular, lower volume, nonrecurring items in EBITDA roughly in the same magnitude as in prior year. Metal Engineering division, a very strong performance as my colleague, Franz Kainersdorfer explained in railway systems. It was stable in particular in welding, difficult environment, but also stable in wire. Seamless tubes definitely weaker after a record period in '23-'24. Metal Forming Division is down by EUR 132 million. We talked about restructuring. We talked about the difficulties and the challenges we are facing in automotive components, in particular, is the main reason, thereby we are down. Tubes & Sections was also down, but on a very high level. And in Warehouse and Racks, we are doing very good and very well. So we saw an improvement there, which compensated again a part of this reduced result. Yes, and this is how we end up at EUR 1.3 billion in EBITDA. In terms of free cash flow, I think we managed this part very well last year. You see cash flow from results is down. Of course, it is down like EBITDA is down, EBIT is down. And so one main target of all of us here, in front of you, was to improve, on the one side, working capital; on the other side, streamlining investing activities, CapEx management. And on both sides, I think the performance was really good. For example, in changes in working capital, plus EUR 300 million, this mainly refers to lower inventories. Of course, the question could be, and what is the effect of lower prices, not even half of it comes from lower prices, it's lower volume. So it's real improvement there from everyone contributed here on the table. So this -- so we ended up in an operating cash flow at the level of the prior year despite this lower profitability. Cash flow from investing activities at EUR 1.1 billion, my colleagues explained to you. Our main projects there with Greentec steel but it's also lower than I think than expected. And as we also guided last -- during our Q3 call, so it's still unchanged outlook for this year at [ EUR 1,150 million ]or roughly at this magnitude is what we can explain or can we -- what we can expect from the year '25-'26 in terms of investing activities. So we ended up in a free cash flow of EUR 309 million after EUR 394 million prior year. My last slide simply gives you our status here financially. So we have a very solid equity base, EUR 7.5 billion, fairly stable there. Equity ratio is 47%. That exactly at the same level as prior year, EUR 1,650 million of the EUR 1,651 million is net debt. Gearing exactly at the same level of 22% and also for you, so there are no major redemptions, which we have to prepare now for this year, '25-'26, as EUR 1 billion were refinanced in prior year. So there's a fairly stable year to be expected also from this perspective in '25-'26. And I would like now to hand over to Herbert again for the outlook.
Herbert Eibensteiner: So let me finish with the outlook. I think it's clear to everybody that we got a bit more uncertainty after the Liberation Day in the U.S. and it's unchanged more or less. But as you know, the U.S. is not our only market in our worldwide business. And I think you will get asked anyway, we try to calculate or forecast what 25% of this tariffs could affect Voestalpine and we come to the conclusion that this, more or less, a mid-double-digit million euro amount. And when you ask me, ask me for the 50% tariffs when they last longer. I would say, maybe we have an additional effect of lower demand from the U.S. because the economy will come down because the U.S. have to import at least 1/4 of this demand in steel, 25 million tonnes, and this would switch to paying not tariffs anymore, but to have to fight with underutilized activities at Voestalpine and especially in tubulars or maybe in high- performance metals in Kapfenberg in the new plant. So maybe it's a bit higher but there is no reason to change the forecast so far. I think the EU is negotiating and we'll see in a couple of weeks what is the outcome but the message is, it's a manageable activity to handle 25% or even 50%. The market trends in general haven't changed materially. Construction, mechanical engineering, consumer goods remain at the same level. As Hubert mentioned before. We see here and there some improvements, especially coming from Germany and automotive industry is also expected mostly stable on current levels also in the next months to come, knowing that Hubert Zajicek, with his Steel division, has gained market share also in Automotive. And Railway Systems will perform very well, Aerospace will perform very well. And also warehouse business, where we are more or less fully booked for this year, is -- will continue as expected, and this leads to a EBITDA forecast in the range of EUR 1.4 billion to EUR 1.55 billion for this business year, '25-'26. So this was a brief presentation about our business here and the outlook, and we are happy to answer your questions.
Operator: [Operator Instructions] Our first question comes from Tristan Gresser from BNP Paribas.
Tristan Gresser: I have 2, and sorry, but it's a follow-up on U.S. tariffs. Could you share a little bit of what happened with your sales to the U.S. with the 25% tariffs put in place in over the past couple of months? Have you been able to share the tariff cost with customer or are you bearing the full cost? And then when we think about this 50% tariff, maybe I'm reading between the lines, but it would not be fair to just double it if I understand you correctly. If they stay, the impact could be greater because you could actually lose orders and need to cut production. Is that fair?
Herbert Eibensteiner: Absolutely. Yes, that's a very good summary. You know what we see when the U.S. imposed these tariffs, these 25% tariffs that immediately, the steel price was rising, so it was possible to import into the U.S. On the other hand, we have a relatively high percentage of longer-term contracts, where we have negotiated higher tariffs in this contract, so we can hand it on to the customers. And this double-digit figure is there will some tariffs remaining in -- for Voestalpine and this was the idea behind this figure. And when you -- and this is the right conclusion from you that you cannot double the effect of 25%, but there will be some products which are not produced in the U.S. that we can hand on these tariffs. But there are some products we cannot and this would lead to a reduced orders coming from the U.S. Because when you look at seamless tubes, OCTG tubes with these higher prices, I'm not even sure that the rig counts will stay on the same level with this lower price. So I think there will be a reduction in demand in the U.S. as well. And this is an effect which is for sure in our books, but not one to one because we have -- its tariffs will move to underutilized costs in our books. I hope it's clear what I mean with this explanation.
Tristan Gresser: No, it's very clear. And my second question is more on European trade policy. I think in your comments, you mentioned the potential what you're looking for is an extension of the free allocation path 2034. It doesn't look like it is part of the steel action plan or is it something that the European Commission is actually considering. So could you confirm is that your position and what you're trying to get heard with the commission? Or is it actually you think something that the commission is evaluating as part of the steel action plan? And yes, I'll leave it there.
Herbert Eibensteiner: Yes. I think we are lobbying for that because we are of the opinion that we invest in CO2 reduction and why we are spending a lot of money, and there is, at the same time, a reduction in free allocation so that means we would lose additional money at the wrong time. And I think more politicians are considering that, but I'm not sure that we succeed, finally. I think there are a couple of other issues we should look at it also the safeguard measures, the new safeguard measures will be implemented next year, which are positive, I would say, for our industry. I think we have not finally discussed CPEM because I think the commission is well aware that we have no solution for exports. So I think there are a couple of positive things in this green industrial deal, but I'm not -- I'm sure that we wouldn't get everything we want to have.
Tristan Gresser: Do you think the new safeguards could come already in 2025 or do you think we'll have to wait 2026?
Herbert Eibensteiner: Normally, I would say it's '26 and -- but when there is no final conclusion on tariffs in the course of the next month, I think that the EU has something to do to prevent, how should I say, more imports into the EU coming from other countries, they are not delivered -- they cannot deliver -- delivering goods to the U.S. So I think maybe this is intermediate activity, but for sure, the EU have then look at the European border to protect our industry.
Operator: The next question comes from Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: Yes. My first one is actually just more on the steel cycle and actually the price cycle specifically. And I appreciate that's probably a difficult question to answer given, I guess, all of the moving parts out there. But I was wondering like what is your base case scenario for the steel price cycle from between now and the end of the year. Prices obviously have been very strong in the first half so far, but has been obviously fading a little bit in the last couple of weeks. I guess now we have a bit more uncertainty here from, I guess, the higher U.S. tariffs and the possible flowback of material over to Europe, there's also weaker seasonality. Is there any rationale which, I guess, tells you here is a certain floor for steel prices? So that's my first question. Maybe if you could help us with your views.
Gerald Mayer: Yes. Thank you very much for your question. And you're right, there's a lot of uncertainty around now, just having been talking about the tariff situation. But what we think and what we expect is that there will be not a lot of movement in the steel prices. So what we -- on the one hand, we have is that we have a good portion of yearly contracts, and we saw that when we negotiated the nearly -- the yearly contract, they were at that level we estimated. So there was not a big change. It depends on when you negotiate that because the time of the yearly contract is not all of the contracts starting in January, but some in April, in July and in October, for example, and the first negotiations we had to reflect more or less what the maps or other institutions are saying. We see -- during the summer, we see the upturn we saw in the first couple of months in this calendar year was good and more or less that what the predictions we're seeing. And we see now that a slight upturn came to a halt more or less. And during the summer, we expect staying steel prices at that level, and that will not much change till the end of our fiscal year. So more or less, we do not expect the rising steel prices. We see some differences when we negotiate the yearly contracts or half yearly contracts. We also have quarterly contracts. We hardly have a spot business. But what we do see, for example, in the quarterly contracts, there was a bit movement in the better direction for us in the now running quarter. We see for the next quarter more or less stable prices when it comes to quarterly perspective. And we see a slight increase. We expect a slight increase again when it comes to fall. So -- but over the year, more or less with some ups and downs, we see more or less stable or we expect a stable price level for our steel products.
Bastian Synagowitz: Okay. Understood. Then my next question is on metal engineering and here I'm wondering whether maybe you could share with us the profit contribution from the railways business to that division, which you have not been, from my understanding, carving out for some time. But maybe if you could provide a bit more color how actually that the earnings number splits between particularly railways and the others, I guess, seamless is probably not doing as well at the moment?
Gerald Mayer: Yes, I would say what I can share with you. You know that we do not publish business unit numbers there in principle, but railway system is roughly or more than, let's say, 50% of the volume of our overall business in terms of revenues in this group. And in terms of profitability, it also outperforms also in terms of the margin, it outperforms more or less the rest of the division. This is what I can share with you here.
Bastian Synagowitz: Okay. Okay. And then last question, again, probably one for you again, Mr. Mayer. So just on the CapEx side, we have come in well below your earlier guidance, not just this year, I guess, also in the previous year. So I'm wondering how much of the EUR 1.15 billion CapEx number you're guiding for decarbonization? Where have you cut versus the, I would say, the earlier communicated soft guidance? I think it was roughly 1.2, which you mentioned before for 2026. So where have you cut back? And I know we obviously just started '26, but maybe you could also give us a working assumption for '27 and '28, just in the context of decarbonization and what you still have to spend there?
Gerald Mayer: First of all, unchanged total number of EUR 1.5 billion in terms of CapEx, 1/3 is done in terms of capital -- in terms of cash flow of investing activities, we are between, I would say, 25% and 30% through roughly. So what we expect as being part of this EUR 1.15 billion I guided in my presentation, I would say roughly EUR 350 million should be CapEx for this year. In terms of guidance for the periods coming, it's our clear target not to exceed EUR 1.15 billion. So we want to stay there and not exceed this number also in the periods to come. And as I just mentioned that roughly 25%, 30% is done already in terms of cash out that I expect another 25%, 30% to be done this year, then you can calculate what is left from this EUR 1.5 billion and the decision, how we continue with our upcoming projects has to be done in the next period. So we're not in a stress situation there.
Bastian Synagowitz: Understood. And then like -- so if we work that back, obviously, if we take the EUR 350 million away from the EUR 1.15 billion, which you said you're not going to exceed, are you running the rest pretty much at maintenance level or is there still bits and pieces for some strategic investments? I guess you mentioned the truck plant, you mentioned investments into warehousing, so my impression is you're actually still investing basically into quality and growth despite having cut back, but maybe you could just talk about that?
Herbert Eibensteiner: Yes, there is still CapEx remaining for profitable growth in our downstream business. And I think that's -- how should I say, it's not so CapEx-heavy than steel industry. So I think there is also room to one or the other additional capital expenditure for growth as well.
Operator: [Operator Instructions] The next question comes from Christian Obst from Baader Bank.
Christian Obst: Yes. First question is concerning administrative expenses. So over the last 4 years almost you increased sales by approximately 6%, while the administrative expenses increased by 30%, and again, 8% this year, reaching more than EUR 900 million. Can you give us some kind of an explanation why this is the case? And how do you expect the development going forward? So this is the first question, and I'll take them one by one.
Gerald Mayer: Yes, Christian, just 1 thing from my side there. In terms of sales there, we also include, of course, logistics and logistics there are 2 elements. The one is the volume which was down, prices were up. So this is there the case. In addition, we have, of course, sales, we have personnel expenses in there which are normally inflated as the rest of our gain. In terms of administrative expenses, you are right. This is, in particular, if you compare them with the sales expenses, they are up, but this also includes, for example, some or a part of our restructuring expenses. And this is the main reason why we are up there. The second part is simply IT costs, so in terms of cybersecurity, in terms of SAP HANA investments. This is also part of administrational expenses. And this is the reason we invested quite heavily in this part and this is why this is up. It's not that we build up, let's say, a big headquarter here and as we say, so it is definitely there are projects behind that and good reasons.
Christian Obst: Okay. And is there any idea that we're going down to some kind of a, I would say, close to sales increase or even lower?
Gerald Mayer: I would say we will continue definitely to invest in SAP transformation S/4HANA is everyone has to do that. We have some divisions which are focusing on that more in the upcoming period, like metal forming or period. On the other side, I would say it's fair to assume that we do not expect additional restructuring expenses, which will be a burden on our admin expenses like it was last year. Of course, they will come down, yes. And also for you, roughly EUR 20 million were part of simply restructuring was part of admin last year.
Christian Obst: So this goes directly to my next question. So there is the idea to go for metal forming down to less than 4,000 FTEs and also to reduce further the FTEs in HPM. Do we -- or should we expect any kind of additional restructuring costs in the current business year or not? So if I understood you right, you said there was nothing to come.
Carola Richter: Maybe to comment on the headcount number. This number I mentioned, 4,000 is for the automotive components, which is just 1 part. Also together, the division is larger. On the restructuring side, as I mentioned, the automotive components restart project is the major restructuring project. All the other parts of the division are performing much better warehouse and we actually heard very, very well. So -- and the number we are planning for this coming year is only EUR 20 million for still the automotive restructuring part still has to do with the press relocations, but that should be it. And after that, we assume that automotive components is, yes, ready for a profitable future.
Christian Obst: Okay. So for the entire group, this also means that we do not expect -- do not have to expect any further meaningful restructuring costs?
Herbert Eibensteiner: This is principal correct, yes. This is as of today, our view.
Christian Obst: Then when it comes -- the next question is concerning inventories. So very impressive to wind down inventories and increase working capital or increase the cap release from working capital. We are now at well below 30%, if I understood it right, the first time since 2019. Are there any special items in there from the divestment from Buderus maybe and what should we expect going forward? So if there's some increase in activity, should we then expect also a meaningful increase in working capital again? Or is that kind of a level something you can deal with also in the coming quarters and even years.
Gerald Mayer: Let me answer and take this question as well. So for us, we managed to reduce working capital by roughly -- inventory, sorry, roughly EUR 400 million last year out of that and this was your one-off question, Buderus sale contributed to that by roughly EUR 50 million. So if we exclude that, EUR 350 million is roughly left in terms of reduction of inventories; out of that, roughly EUR 200 million, once again, we're referring to volume decreases and the rest was referring to lower prices. So in a stable environment, what I would expect, again, deductions and reductions in terms of inventory mainly coming from restructuring and optimization programs in HPM division where we have really a tough project up and running and implemented so we expect further reductions there also for the coming period. And this is mainly, I would say. So let's assume -- so we came down last year from EUR 2.7 billion roughly to EUR 2.34 billion. All in all, in terms of working capital, and there is still room to improve, in particular, coming from HPM and some minor stuff from the other divisions. But we're focusing on that, all of us.
Christian Obst: Yes, of course. One can see that. And the last question is concerning capital employed. The interesting part here is it went down magnificently over the last years, minus 40% over the last 4 years or 5 years approximately. But I don't find a number and especially I don't find a number per segment, in your entire report. So -- and this is interesting because it is also part of the management remuneration. So why do you not show the capital employed and the development of the capital employed in your report?
Gerald Mayer: I think it should be somewhere, at least. But the main impact there or 1 main impact also is, of course, also what we saw in the last year, we sold Buderus. Secondly, we had to impair in the last 3, 4 years quite significant goodwill. And of course, our working capital improvements also show improvements there. So therefore, we had roughly EUR 10 billion, yes, so this is true.
Christian Obst: It would be interesting also for someone from the outside looking at -- you gave them, I think, some years ago, it was in the report that also the capital employed by segment and the development there. And now I searched, but I haven't found even the entire number for the group. But this is just a reminder of something like that.
Gerald Mayer: We will consider that.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Peter Fleischer for any closing remarks.
Peter Fleischer: Thank you very much for your attention, and thank you very much for the interesting discussion. If there are any questions left, please feel free to give either Gerald or myself the call. Management team will be on roadshow now for the next 2 weeks. So maybe we can meet each other in person as well. And just mention if there are any questions left, please feel free to drop us a line. Thank you very much.
Herbert Eibensteiner: Thank you. Bye-bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.